Operator: Good day, and welcome to the Kilroy Realty Corporation Second Quarter 2019 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Tyler Rose, Executive Vice President and Chief Financial Officer. Please go ahead.
Tyler Rose: Good morning, everyone. Thank you for joining us. On the call with me today are John Kilroy; and several other senior members of our management team are all available for Q&A. At the outset, I need to say that some of the information we will be discussing is forward-looking in nature. Please refer to our supplemental package for a statement regarding the forward-looking information in this call and in the supplemental. This call is being telecast live on our website and will be available for replay for the next eight days, both by phone and over the Internet. Our earnings release and supplemental package have been filed on a Form 8-K with the SEC, and both are also available on our website. John will start the call with an update on conditions in our markets and a review of the second quarter, and I'll give you the financial highlights and discuss our updated 2019 earnings guidance. Then we'll be happy to take your questions. John?
John Kilroy: Thanks, Tyler. Hello, everybody, and thank you for joining us. I'll begin today with a review of market conditions and follow with details of our recent leasing performance. Then I'll bring you up-to-date on our development and capital recycling activities. Conditions in our West Coast real estate markets remain very strong across a wide variety of industries. From Seattle to San Diego, the tight supply of available space, combined with significant demand for high-quality work environments, continued to drive rents. And Class A vacancy rates remain at frictional levels in all of our key markets. Technology continues to be a key driver. As I've said before, I believe we are still in the early innings of this new digital era. Advanced computing technologies, turbocharged by artificial intelligence, continued to influence health care, finance, retail and many other service industries that had proven difficult to disrupt in the past. Another key driver of demand has been life science. U.S. spending on health care exceeded $3.5 trillion in 2018, more than 18% of U.S. GDP. That spending represents a huge opportunity for life science enterprises, and it's driving new investment, new businesses and new collaborations. It is boosting demand and shrinking supply in traditional life science clusters, from coastal San Diego to Seattle, and we believe this growth story is still in the early stages. In addition, many of the majors we look to, to gauge the strength of the economic activity, remain healthy. West Coast job growth continues to surpass the rest of the nation. VC funding is at all-time highs. U.S. health care venture fundraising reached a record $21 billion in 2018. Big tech continues to buy little tech, which improves overall credit quality. And the IPO market is providing strong liquidity. On the ground, we're increasingly seeing a trend that the intersection of technology and life science is creating significant competition for office space in the same buildings across many of our markets. In San Francisco, we signed a lease with Dropbox, as you recall, for the Exchange, but we had both tech and life science users competing for the project. You may also recall last year at our 360 Third Street project, a life science company established 136,000 square-foot presence in what was a traditional office building. In San Diego, at our 9455 Towne Center Drive development project, we have been in discussions with both tech and life science companies for all of the project, and now we're seeing it at Kilroy Oyster Point. With the scarcity of new large, state-of-the-art, highly amenitized work environments, we find ourselves negotiating more and more frequently with both tech and life science companies that are in competition for the same space, and we expect this trend to continue. These conditions lay the groundwork for a terrific second quarter and first half leasing performance at KRC. We signed more than 2 million square feet of space in the first 7 months of the year, putting us firmly on track to another year of record performance. And that includes about 975,000 square feet in our development program, which scored more successes as Apple leased our entire project at 333 Dexter in Seattle and Cytokinetics leased more than 35% of the first phase of Kilroy Oyster Point, just 4 months after commencing construction. In our stabilized portfolio during the second quarter, we signed just under 900,000 square feet of new and renewing leases at cash rents that were up 41% and GAAP rents that were up net 69% from prior levels. Among the highlights, San Francisco tenants, WPP and Sony, both expanded their footprints in the city, signing up for 234,000 square feet between them at cash rents that were up 75% on a GAAP basis and -- excuse me, 75% on a cash basis and GAAP rents were up over 109%. WPP expanded its existing footprint by 70%, while Sony established a new presence in the city. In San Diego, two existing tenants expanded their space in our Del Mar portfolio by more than 90,000 square feet in the aggregate, with cash rents that increased about 12% and GAAP rents that increased 31% on a weighted average basis. We ended the second quarter with our stabilized portfolio 97.2% leased. We estimate that in-place rents across our stabilized portfolio at the end of the quarter remained more than 20% below market, the highest level in company history. Now let's talk about the progress across our in-process development program. Starting in Seattle, we signed a long-term lease with Apple in June for all 635,000 square feet at our 333 Dexter project in South Lake Union. 333 Dexter is our first ground-up development project in Seattle and its design, scale and location, one of the city's most sought-after submarkets, attracted attention from a variety of organizations. It's a great example of how our development program creates substantial value. Our cost basis in this brand-new state-of-the-art project is roughly 65% of where our older product has recently traded. And we've now locked in an attractive revenue stream with a high-quality tenant for the long term. In San Francisco, during the second quarter, we added 100 Hooper, a 400,000 square-foot project, to our stabilized portfolio. We also delivered the first half of the Exchange on 16th, a 750,000 square-foot project. In Del Mar, the retail portion of our One Paseo mixed-use project is now 94% leased and 72% occupied. The office portion of the project, which delivers in mid-2021 is 68% leased and 81% committed. Rents for both retail and office are setting records for the Del Mar submarket and for San Diego County. The project's residential units will begin delivering towards the end of the summer, and Phase 1 is already approximately 20% committed. Our success at One Paseo underscores the compelling attraction of the live, work and play environment we have created. In Hollywood, as previously announced, the office space at our on Vine mixed-use project is fully leased to Netflix. Both office and residential components of the project remain on schedule for a 2020 completion. Moving to life science. We have two projects underway, totaling 820,000 square feet. That's Phase 1 of Kilroy Oyster Point in South San Francisco and 9455 Towne Center Drive in the University Town Center submarket of San Diego. And I'm happy to report that we are in active lease negotiations for the entirety of the square footage. And just yesterday, we announced that Cytokinetics signed a 12-year lease for 235,000 square feet at Kilroy Oyster Point, taking more than 35% of Phase 1. In the aggregate, our $2.2 billion of projects under construction is 2/3 leased, excluding resi and retail. Upon stabilization, the 5 projects will generate an estimated cash NOI of approximately $140 million, roughly 80% from office in life science and 20% from residential. Before turning to the development pipeline, I'd like to recap our development track record in this cycle. Since 2013, we have delivered over $2 billion of projects at cost, 90% of which was office and 10% residential with a cash return of roughly 7.7%, generating more than $165 million of stabilized NOI. On the leasing front, 3/4 of the projects were started spec and 95% were leased prior to completion. Obviously, we're pleased with this performance. Now moving to the development pipeline. On July 18, we received unanimous approval from the San Francisco Planning Commission for our Flower Mart project. The next and final step is for the Board of Supervisors to approve the project's development agreement this fall. On the acquisition front, we continue to evaluate opportunities that could add immediate cash flow and other opportunities that would replenish our development pipeline. While we had not been large-scale buyers of operating properties in the past two years, we are seeing a few select properties in our key markets that could offer growing yields and other attractive metrics, including below-market risks and meaningful discounts to replacement cost. In our capital recycling program, we completed the disposition of a small property located along the 101 Corridor in Westlake Village for $18 million and have a second asset currently in the market. Together -- Westlake together with the Calabasas sale earlier this year means we've now exited the 101 Corridor completely. We now believe that other asset dispositions we are evaluating are likely to happen next year. With the new timing, we expect our total dispositions in 2019 to be about $150 million. I'll wrap up my comments with five key takeaways. Market conditions are the best we've seen in some time, and we are capitalizing on this across the portfolio, driving rents and increasing value. While we continue to believe development is the best way to create value and we believe 333 Dexter is another good example of that, we are underwriting acquisitions of existing assets with favorable valuation metrics. More to come on that. We remain disciplined in evaluating new development starts, replenishing our pipeline and pursuing other strategic opportunities. We continue to place balance sheet strength and financial flexibility at the core of our business strategy, and we have a highly experienced and talented management team up and down the West Coast that is well positioned to continue to create significant value for our shareholders. That completes my remarks. Now I'll turn it over to Tyler for a review of the financial results. Thank you, Tyler.
Tyler Rose: Thanks, John. FFO was $0.95 per share in the second quarter, which included the earlier-than-forecasted commencement of the first half of the Exchange. Same-store NOI in the quarter grew 4.7% on a GAAP basis and declined 5.6% on a cash basis. GAAP NOI growth was helped by a net $0.05 charge from bad debt in the prior year period. As we've discussed on earlier calls, cash NOI in the first half of the year has been impacted by a handful of large expirations, which have been largely re-leased but required some downtime for TIs. We expect cash NOI to resume growing in the second half and it will be roughly flat for the full year. At the end of the second quarter, our stabilized portfolio was 93.8% occupied and 97.2% leased. With our strong leasing activity through the first seven months of the year, we've effectively addressed all 2019 lease expirations with just 1.5% remaining. And over the next 15 months, we only have one expiration greater than 100,000 square feet to lease. As John mentioned, we estimate that our portfolio-wide average in-place rents remain 20% or more for the market. By region, in-place rents for San Francisco are approximately 31% below market. Los Angeles and Seattle's are 11% below market, and San Diego's are about 9% below market. Also, during the quarter, we increased our regular quarterly cash dividend by 6.6% to $0.485 per share or on an annualized rate of $1.94 per share. This represents close to a 30% increase over the past three years. Now let's move to the balance sheet. We drew down all the proceeds on the sale of $5 million shares of equity we had placed last August on a forward basis and used the roughly $350 million to pay down our bank line. The roughly $90 million of forward equity placed in the first quarter under our ATM remains undrawn at this time. We have substantial debt capacity and flexibility. We have $690 million of capacity under our bank line and an incremental $600 million under the accordion feature. We have a large unencumbered portfolio, with only two mortgages, very little floating rate debt and no significant maturities until 2022. Our debt-to-market cap at quarter end was approximately 25.5%, and our debt-to-EBITDA was approximately six.1x adjusted for the equity forward transactions. Given favorable credit market condition and our choice to defer some anticipated asset disposals into next year, we're reviewing options to accelerate the timing of issuing new debt. Now let's discuss our updated guidance for 2019 provided in yesterday's earnings release. To begin, let me remind you that we approach our near-term performance forecasting with a high degree of caution given all the uncertainties in today's economy. Our current guidance reflects information and market intelligence as we know it today. Any significant shifts in the economy, our markets, tenant demand, construction costs and new supply going forward could have a meaningful impact on our results in ways not currently reflected in our analysis. Projected revenue recognition dates are subject to several factors that we can't control, including the timing of tenant occupancies. With those caveats, our updated assumptions for 2019 are as follows. As John noted, we now expect dispositions for 2019 to be at approximately $150 million. We forecast accelerating our next bond deal by a quarter given the lower disposition target. We forecast remaining 2019 development spending of $250 million to $300 million. Our forecast for year-end office occupancy remains at 94% to 95%. And we continue to expect 3% to 4% growth in GAAP same-store NOI for the full year and flat results on a cash basis. Taking all these assumptions into account, we are increasing our 2019 earnings guidance range to $3.67 to $3.78 per share, with a midpoint of $3.73 per share. The midpoint increase of $0.02 is primarily driven by the earlier-than-forecasted commencement at the Exchange. That's the latest news from KRC. I will be happy to take your questions. Operator?
Operator: [Operator Instructions] Our first question today will come from John Kim of BMO Capital Markets.
John Kim: Congrats on the Apple lease at 333 Dexter. It looks like the stabilization date was moved back a couple of years. And I was wondering if you could discuss the timing of the FFO contribution of the asset.
Tyler Rose: Yes. So the projected -- it's going to be taken down in three phases starting in the second half of 2020 into 2022. We'll be providing more detail in that in the coming quarters.
John Kim: And do you stop capitalizing interest when the occupancy takes place on a different basis?
Tyler Rose: Yes.
John Kim: At the Flower Mart, it looks like there's some conflicting news items whether or not the Flower Mart is going to decide to stay in the project after you complete it. Can you just provide some -- any further clarity you have on that?
John Kilroy: Yes, this is John, John. Yes, the Flower Mart came to us in the city and said that with all the buildings that are going on, us, KRE, everybody else in Central SOMA, that it's going to be changing the character of the area from industrial to much more upscale. We think maybe it would be better for us to go over to the produce mart that's going to be built. "Do you -- would you accommodate us?" We talked to the city, and they said, "Fine with us. You still get credit for saving the Flower Mart for the project, all the rest." And so they made very well movement there. They have the option to do that. That's been approved by the city and all its different components, including the supervisors in terms of supporting it. So we don't know whether they will come back or not. It doesn't cost us any more money because the money was already there. So -- and in fact, it would increase our leasable office square footage slightly if they did not come back. So more to come on that.
John Kim: As far as the total cost, it looks like similar projects that you have are around the $850 range per square foot. Is that a good benchmark for the Flower Mart? And can you also provide an update on the litigation project?
John Kilroy: Well, I can't talk about litigation. There is a variety of -- other than to say that its people are endeavoring to negotiate a successful completion, we're hopeful that it will happen, but I can't be coming -- because it is litigation, I can't get into the specifics of that. In terms of the cost, let's just say that we're in a very favorable cost basis, but we are in negotiation with a lot of different people for the Flower Mart and I don't want to talk about what the cost is. It's going to make -- it's good to be favorable.
John Kim: Understood.
Tyler Rose: It's going to be favorable.
John Kim: Got it. Thanks a lot.
Operator: The next question will come from Nick Yulico of Scotiabank. Please go ahead.
Nick Yulico: Just following up on Flower Mart. I guess can you give us a feel for where you think the demand is like in the city right now? And what are Class -- where have Class A market rents for new construction in the city risen to?
John Kilroy: Yes. Well, demand is -- I don't think I've ever seen demand any stronger. As you have seen us announce over the past, I don't know, years' worth of conference calls, we've been leasing space of record rates for space that is -- isn't contiguous or space that may not be available other than in tranches over the next couple of years. And that's in older buildings like 303 and 360 and 201 and so forth and 101st. Rents in the Brannan Street Corridor for quality product is, let's just say, north of $80 triple net and I think moving higher.
Nick Yulico: Okay, that's very helpful. And then going back to the Oyster Point lease. Cytokinetics did file some information about it. And based on that rent, it looks like the project is already going to yield -- is already yielding over 7%. I mean how should we -- assuming you got similar rents for the rest of the space, I mean, how should we think about potential rent growth in that market and then also like future phases of construction cost? I mean is this a development that's going to get closer to an 8% yield over time?
John Kilroy: I'm not going to put my neck out there because every time I do, you guys want to chop it off because something happens. But we think that the Phase 1 will exceed our pro forma expectations that we've talked about before. Future phases, we think, the rents will grow tremendously in that market. You heard us say before that the same tenants, types of tenants and many of the same names lease space in Cambridge, lease space in South San Francisco for the similar kinds of properties and operations. And if you take a look and draw a little bit of a forward thinking to where rents might go in South San Francisco, look at where they are in Cambridge. We think we're going to see big rent increases over the next number of years. And we think rents will escalate significantly in the future phases of KOP.
Nick Yulico: And just one last question on a lease that was signed. It looks like there's - the tenant is -- doesn't pay rent on the full amount of square footage in the first year. It pays a piece of that. I wasn't sure if that was because they are not taking all the space or if there was -- that was built in, in some like additional free rent component.
John Kilroy: Tyler, do you want to handle that?
Tyler Rose: Michelle, go ahead.
John Kilroy: Yes. No, I think they are taking the 160 in the first 12 months and then the remainder over time in the second year, the total 235.
Nick Yulico: Okay, thanks everyone. Thanks, Jeff.
Operator: The next question will come from Craig Mailman of KeyBanc Capital Markets. Please go ahead.
Craig Mailman: Tyler, just one quick one on guidance on the bond deal. Kind of what should we think about size and timing on that one?
Tyler Rose: Yes. I mean we're still working on it. I mean 350 to 400 maybe on size. And timing, maybe September is a kind of thing. Still working on it.
Craig Mailman: Okay. That's fair. And then, John, just going through your comments. Are you seeing more acquisition opportunities? Could you just kind of juxtapose that with that good development pipeline you have with Flower Mart and others? And kind of having to fund all this with where the equity is, maybe doing more -- mix more debt and dispose, kind of how the mix of capital allocation could go in the next 12 to 24 months.
John Kilroy: Obviously, I mean, just on dispositions to begin with, we gave a guidance early in the year, as I think everybody remembers, is up between 150 and was it 350, Tyler?
Tyler Rose: Yes.
John Kilroy: Yes. And we're at the lower end. And we explained before, that somebody asked us, we thought we'd be selling, we think we can create some significant value by repositioning them before we sell them. So that means there probably are more dispositions next year. In terms of acquisitions, I don't want people go out and think that we're going to become massive acquirers. We're not. But we are seeing a couple of assets that we think are extraordinarily well-positioned for huge increases in the future with -- that are currently accretive. And if we can be successful in acquiring those, then we think that's a good play for shareholders. Tyler, if you want to talk more about funding, if -- I think that was the second part of your question.
Tyler Rose: Yes. I mean in terms of the funding of the existing needs, 2019 is effectively taken care of with these dispositions that we're still doing and the ATM floor that we drew down in the first quarter. So 2019 checked off. And then for 2020, as we just talked about, we're looking at a potential bond deal that would prefund from the 2020 development spending. And then to the extent we do acquire something or decide to do more development, then we'll evaluate the other alternatives that we've always used, which is dispositions in that, and equity, we have a lot of debt capacity and there's also the joint venture alternative.
Craig Mailman: Okay. And then just, which I know because you don't want us to think you guys are buying too much, just order of magnitude maybe of what you guys think you could take down and maybe the spread between those types of stabilized yields versus what you're getting on your developments.
John Kilroy: Well, as obviously, you're not going to get on anything you buy to reposition or that gets repositioned through the course of time. You're not going to get anywhere near the development yields. I don't want to get into the specific yields because we have deals in discussion and I just think that's inappropriate to talk about because people do listen or read these scripts that are competitors, and I just feel uncomfortable talking about it. But it is definitely safe to say that you're not going to go out and acquire high-quality, best-in-class assets and have them be anywhere near the yields that Kilroy has been able to achieve in this cycle, including currently in our development. So there's probably 250 basis points, plus or minus, and possibly more of the spread. But what I'm looking at is if you can end up with something that is slightly accretive that can become massively accretive a few years down the road, then I like that.
Craig Mailman: And what do you think -- and how much would you spend on this, just wide kind of goalpost?
John Kilroy: Well, it would be a fraction of what we do from a development standpoint. What do we have, Tyler, right now? $2.2 billion, $2.5 billion of development underway. And I'm not talking about anything that the approach is even half of that.
Craig Mailman: Right. And then just one last one for me. I think, in the past, you said that even though you're going to get approvals on the Flower Mart, you still wouldn't start until kind of the lawsuits are settled. I'm just curious if that's still the case. And then just how it's looking from kind of a phased perspective. I know, in the past, you said maybe it would be two phases. Is there enough demand out there to just do it all at once and just kind of thoughts around that.
John Kilroy: Yes. I think there's enough -- first of all, the entitlements that we have will be entitlements for what we call Phase I, which is everything but the Gateway building, which is roughly 350,000 square feet worth of leasable space. So we think it's likely that we will start -- it gets staggered a little bit between the blocks building the market-all building because the market-all building doesn't take as long to start. So it all doesn't technically start at the same time, but I think it will finish at the same time. In terms of demand, I -- there's very, very strong demand by major companies for all of it. And I'm talking about all of it, where there's companies that want all of it for themselves.
Craig Mailman: Okay, great, thanks.
Operator: Next question will come from Steve Sakwa of Evercore. Please go ahead.
Steve Sakwa: John, I guess to kind of follow up on that point about the demand. Just help us understand how you sort of decided on Cytokinetics. And I realize it's a little bit more of a smaller biotech company, has a couple of drugs. It's not a traditional household name. It's certainly not an Apple from a credit perspective. So how did you guys go about sort of evaluating that company, kind of giving them part of Phase one. Given the kind of demand, it sounds like that's behind that.
John Kilroy: I think it will become very clear in our next conference call.
Steve Sakwa: Okay, all right, thank you.
Operator: Our next question will come from Jamie Feldman of Bank of America Merrill Lynch. Please go ahead.
James Feldman: I want to talk a little bit about rent growth. Can you just talk about, across your major markets, what you're seeing in terms of net effective rent growth and maybe how does it feel versus last year?
John Kilroy: You want to cover that, Rob?
Robert Paratte: Sure. How you doing, Jamie? This is Rob Paratte, by the way. Starting with Seattle, we just see continued pressure on rents. So again, based on what brokers are forecasting for the year, for the remainder of this year, I wouldn't be surprised to see it in the double digits again in terms of net rent growth. The Seattle-Puget Sound area added over 43,000 jobs in the past 12 months. So there's, I think, this pent-up demand with a lot of employees in the area, plus people moving in, and I think tenants up there are pushing a lot of this rent growth as well as just occupancy. In San Francisco, I think, again, it will likely be. I mean brokers are predicting, and especially for larger transactions, that we'll be in the double digits again. So whether that's 10% or 12%, hard to say right now. But based on the demand we're seeing and the number of tenants that are in the market, it's looking like it will be at least as good as last year. And your question was, I'd say up and down the coast, how do the markets look, how does rent growth look. I'd say they look, in every case, better than they did last year. So it's a very dynamic time right now. In Los Angeles, probably in the -- just, again, depending on the submarket. I think in the west side of L.A. and Hollywood, you could start getting into double digit, but it's probably more, I'd say, safer to say 5% to 8% rent growth. And San Diego has really started humming well, I mean, just in terms of the amount of activity that is going on with tenants that are in the market, but also tenants that haven't yet come to the market that are looking. So we're seeing, particularly in San Diego, in the right submarkets, whether it's our Del Mar area where One Paseo is. Or for example, our Little Italy project, we're starting to see different types of techs. So I think rent growth, again, probably won't be in the double digits, but can certainly be in the mid-single digits.
James Feldman: Right, that's very helpful. And then as you think about we keep seeing more and more news coming out of San Jose and Silicon Valley, I guess Silicon Valley occupancy improving and San Jose, a lot of investment and housing and mixed-use, what are your thoughts on what's happening down there and your appetite to get even more involved?
John Kilroy: In San Diego?
James Feldman: No. At Silicon Valley Peninsula, San Jose?
John Kilroy: Yes. I think San Jose has got a lot of people that are assuming there's going to be tremendous growth, and there's -- in my mind, I like San Jose. I think it's a wonderful place. We've looked at it very thoroughly. We've had a lot -- we reviewed all our property, some of which have been bought by some of our peers. But there's no limitation on what you can build. Rentals don't just buy new construction. That doesn't mean that rents won't get there. But if you need a million square feet, they're probably 8 or 9 people you can talk to for that million square feet. So the scarcity factor is the demand/supply is -- balances not to our liking. At this point, that could change.
James Feldman: Okay. And then Tyler had mentioned one expiration over 100,000 square feet over the next 15 months. Can you talk about that lease and your prospects to either renew it or if you think it's a move-out?
John Kilroy: Yes, it's going to be a move-out. And I think we'll move the rents up considerably by repositioning it. But it will take a little time. And that happens to be in a property that we were thinking about not remodeling anyway. And so it's part of a larger development at multiple buildings. So -- but they are moving out, Jamie.
James Feldman: Where is it and…
John Kilroy: It's Kilroy -- I think we call it Kilroy Center, Long Beach.
James Feldman: And you're planning to keep the asset, not sell it?
John Kilroy: I don't want to talk about what we might be doing with any particular asset until we announce it. We don't talk about it.
James Feldman: And then just bigger picture, when you guys -- it looks like you're very comfortable growing more in life science. What are you thinking on the regulatory environment and drug pricing and how that might impact this sector?
John Kilroy: It's hard. I mean if you knew that, I wouldn't be in the real estate business, I'd be making that bet making zillions of dollars. So I don't mean to be flippant, but I don't know that anybody can make a call on that. I think you have to look at it. The fact is, our population is getting older. We got massive problems with diabetes and Alzheimer's and a variety of other things. It would bankrupt the country if we don't find new protocols to deal with and new drugs to deal with it, and so I think that we're going to find this area continuing to expand. I think it's -- technology is going to bring prices down and develop new remedies and whatnot. So I think it's pretty well-based that it's going to grow. Will drug prices tamp that down a little bit, I don't know how to predict that, Jamie.
James Feldman: Okay. I appreciate your thoughts. Thank you.
Operator: The next question will come from John Guinee of Stifel. Please go ahead.
John Guinee: A question for you. DIRECTV probably getting down below 10 years on the lease. Is that lease appreciably below, above or below market? And then I noticed that your residential deal on Vine is costing about $1 million a unit. Can you talk about what kind of yield you can get on $1 million a unit residential deal?
John Kilroy: Yes. Well, I'll start -- I'll let Steve talk about resi, but let me talk about the DIRECTV. The rent is very, very, very significantly below market.
John Guinee: Okay. So all we need to know.
John Kilroy: Okay. Steve, you want to talk about the resi?
Steve Rosetta: Sure. John, yields on the resi buildings are in line with what other developers are delivering projects at, and we're not reporting those yields and breaking them out. But they are competitive, they are accretive, and they add an important value to these mixed-use projects.
John Guinee: Are you going vertical with steel and concrete in Hollywood and then doing a podium building in Del Mar? Is that what my guess is?
Steve Rosetta: Yes.
Tyler Rose: Okay, thanks.
Operator: Our next question will come from Derek Johnston of Deutsche Bank. Please go ahead.
Derek Johnston: I know we touched on funding briefly, but I want it to be kind of direct. So what are the funding plans for Flower Mart specifically?
John Kilroy: Well, we've talked about that before. And we have a lot of different ways of thinking about that. It's just a bigger project, but it's exactly the same as we've talked about with others, and that is we did -- we could venture it, we could add debt, we could add equity, any comp, we could do dispositions. We're totally flexible right now. I think we'll end up with a significant lease in due course, and then we will address our capital plan concurrently with announcing any lease.
Derek Johnston: Great. And just secondly and lastly, so what do you have left to lease in San Francisco this year given the truly full occupancy? And really, is there much juice left to squeeze out of this orange in San Francisco in the second half of '19?
John Kilroy: Tyler?
Tyler Rose: Yes. I mean as I mentioned in my comments, there's very little left in 2019 in the Bay Area to lease. We're basically full. So rents are below market in our San Francisco portfolio, about 31%, but we can't capture too much of that as we're getting out in 2019.
Operator: Our next question will come from Blaine Heck of Wells Fargo. Please go ahead.
Blaine Heck: John, you talked about acquisitions. I think you were referring mostly to operating properties and value-add type deals. But I guess how are you thinking about your landholdings at this point? Obviously, you've got a lot of wood to chop with regards to Oyster Point and Flower Mart. But are you guys still actively looking for other sites for development down the road?
John Kilroy: Well, yes, we are -- we look at everything, Blaine, as I think we've said multiple times over the years. We literally looked at everything, even whether it's a potential development, whether it's a potential acquisition. Part of that is market knowledge, part of it is what are others doing, what do they see that we don't and sometimes, we act on it. With regard to your -- specifically with regard to development sites, there are some sites that we like because they are right in our wheelhouse and they check all the boxes, and whether or not we'll be successful over time in acquiring some additional sites remains to be seen. With regard to the two big projects you mentioned at Oyster Point and the Flower Mart, first of all, Oyster Point, we're in -- we have entitlements for another couple of million square feet at Oyster Point. You have to go through a precise plan process, which takes about a year. We'll be submitting the precise plan for the subsequent phases at Oyster Point. It would be -- we'd be hard-pressed to be under construction in 15 months, assuming we wanted to start construction. I don't think we could start probably for another 15 months, plus or minus, there for the next phase. With regard to the Flower Mart, obviously, we've got to see the city solve the lawsuits. Hopefully, that happens over the course of the next six to 12 months. Then we got to move the Flower Mart off and then we start construction, so you know those are downstream. There could be -- we have 2100 Kettner down in San Diego, which Michelle, what's the -- forgive me, everybody, but I just can't remember the numbers on every single project. That's an incremental spend of how much, Michelle? 2100?
Michelle Ngo: It's about $100 million.
John Kilroy: $100 million?
Michelle Ngo: About $100 million. Yes.
John Kilroy: Yes. And we'll probably start that sometime in the next six months based upon what we're seeing for tenant demand. And then buying additional sites, we're always looking. We'll report on that when we think we're serious about something or we have something to announce.
Blaine Heck: All right. That's really helpful. And then it looks like capex per square foot and concessions in general were a little higher this quarter. Can you just talk about whether that was a mix issue. And I guess, maybe for Rob more generally, what are you seeing with respect to TIs and free rent in your markets?
Robert Paratte: Sure. I'll handle the last part of your question first, Blaine. With what's happening with the TI market is basically cost-driven, meaning that costs are higher just because labor, et cetera, materials, that kind of thing, just given the economy that we have. That said, with our new development particularly, the TI tends to be a little bit higher, but we're also getting higher rents for that. And it's also -- TIs are also driven largely by function of how long the lease terms are that you sign. So it's not -- in past markets and that sort of thing, TI becomes sort of a concession that gets increased. But that's not the case now. It's really -- they're all in different submarkets falling within a certain range depending on whether it's new construction or existing lease term and then the type of rent you're getting.
Blaine Heck: All right, that's helpful, thanks.
Operator: The next question will come from Michael Carroll of RBC Capital Markets. The next question will come from Manny Korchman of Citi.
Emmanuel Korchman: John, can you talk about -- you talked about sort of an overlap between tech and life science tenants. Can you talk about your leasing approach to those two different constituencies and how you either make sure or don't make sure if there's overlap.
John Kilroy: I'm sorry, Manny. The last part, how -- what was the last part of your question?
John Kilroy: So how you manage the leasing process between those two somewhat different constituencies within the same assets. Well, remember that in the -- sometimes, we have the same assets. Sometimes, it's a multibuilding thing. All of that stuff, whether it was the Exchange or whether it's KOP or whether it's 9455, they're all designed structurally, mechanically, et cetera, floor loading, ceiling height, et cetera, for life science because they do have specific things that are important to them. However, what we're seeing with the major tech companies is they also need more mechanical, more ceiling height. And so it tends to fit pretty consistently between the two uses. In terms of mixing them in a building, as you know, there's various lab issues and so forth on lower floors versus higher floors and so forth. So we're very conscious of making sure that the different types of uses we might put into a project are compatible and not incompatible. And we have not had any resistance. The -- as I mentioned in my comments, all the space that we have underway for life science, we are negotiating -- in negotiations with life science companies and in many cases, with tech companies for the same space. And I like that because the tech companies push life science companies on rent.
Emmanuel Korchman: And then can you just give us updated thoughts on your search for JV partners, either for existing assets or some of these large-scale developments?
John Kilroy: Well, there's a lot of people out there that want to do ventures on existing projects and on life science projects, on the Flower Mart, on new -- other projects that we're doing. And so if we want to do that, unless there's some big change in the marketplace in a macro context, I think we have multiple candidates from which to choose with very favorable pricing. More to come.
Operator: Our next question will come from Dave Rodgers of Baird. Please go ahead.
David Rodgers: Maybe John, maybe this dovetails a little bit with Manny's last question. But with regard to kind of pushing asset sales into next year and bringing the bond offering forward, what was the main driver in kind of pushing the asset sales back? And just kind of given the demand you're seeing for assets, would you want to get that done sooner rather than later? So were there any triggers kind of in the first half of the year that led you to kind of push that back a little bit?
John Kilroy: Well, it's -- as I tried to explain it in previous conference calls, the mark-to-market, Dave, on these assets is far greater than what we thought it was, and we think we can significantly increase the value of them through repositioning. And then to dispose of those -- of the assets that we had sort of earmarked, we think it will translate to a much higher sale price. So that's -- it's as simple as that.
David Rodgers: So same assets, just maybe investing some more capital, or is it more leasing when you talk about repositioning?
John Kilroy: It's investing some capital, which will, we think, achieve significantly higher rents on the expirations that we see over the next year or so. Yes. And I think it translates to a lower cap rate because it puts the assets in a much better line.
David Rodgers: Clear enough. And then is that a meaningful number in terms of the capex going into those for sale or potentially for JV assets?
John Kilroy: It's not. Put it this way, the value creation versus the added increment of investment is an enormous positive return.
David Rodgers: Okay, thank you.
Operator: Ladies and gentlemen, this will conclude our question-and-answer session. At this time, I'd like to turn the conference back over to Tyler Rose, Executive Vice President and Chief Financial Officer, for any closing remarks.
Tyler Rose: Thank you for joining us today. We appreciate your interest in KRC. Goodbye.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect your lines.